Operator: Good day, ladies and gentlemen, and welcome to the Mattel's Third Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I will now turn the call over to your host, Drew Vollero, Senior Vice President of Corporate Strategy and Investor Relations. Please go ahead.
Drew Vollero: Thank you, Stephanie. As you know, this morning, we reported Mattel's 2013 third quarter financial results. We provided you with a slide presentation to help guide our discussion0 today. The slide presentation and the information required by Regulation G regarding non-GAAP financial measures is available on the Investors and Media Section of our corporate website, corporate.mattel.com. In a few minutes, Bryan Stockton, Mattel's Chairman and CEO; and Kevin Farr, Mattel's CFO, will provide comments on the results and then the call will be open for your questions. Certain statements made during the call may include forward-looking statements related to the future performance of our overall business, brands and product lines. These statements are based on currently available information and are subject to a number of significant risks and uncertainties, which could cause our actual results to differ materially from those projected in the forward-looking statements. We describe some of these uncertainties in the Risk Factors section of our 2012 Annual Report on Form 10-K, and our 2013 quarterly reports on Form 10-Q and in other filings we make with the SEC from time-to-time, as well as in other public statements. Mattel does not update forward-looking statements and expressly disclaims any obligation to do so. Now I'd like to turn the call over to Bryan.
Bryan G. Stockton: Thank you, Drew, and good day, everyone. As many have heard me say before, we refer to the first half of the year in our business as the preseason and the second half of the year as the season. Overall, the season got off to a good start. I'm pleased with our performance in the third quarter, as sales grew, margins expanded, the balance sheet got stronger and we returned more capital to shareholders. I'll build out each of these points in a few minutes, but first, I'd like to provide a brief overview of what we're seeing from an industry-wide perspective. Globally, the toy industry looks much like it has over the last decade or so. According to NPD, the U.S. toy business, which is about 1/4 of the global market, is slightly up this year. The Western European markets, which comprise about 1/4 of the global toy market, are flat, and we view that as a positive sign given the region's economic challenges this year. Both these numbers are pretty consistent with the historical rates of growth for both regions. While NPD does not provide syndicated data for the rest of the world, our internal analysis would suggest that remaining toy markets are growing at mid- to high-single-digit rates, again, consistent with historical trends. As we look across the NPD toy categories, growth rates continue to vary. Overall, the faster-growing categories in the toy space are fueled by innovative products and brands. All 3 of Mattel's core NPD categories, dolls, vehicles and infant/preschool, are growing in the U.S. To continue my assessment of the industry, let me make a couple of comments about the retail environment. Overall, it looks a lot like it has over the past few years. Retailers had been cautious, and they remain cautious. They continue to order based on what's selling. Their goal, like many companies, including Mattel, is to deliver better performance with less inventory. To date, we're seeing the toy industry and retail performing much as it has been over the past few years. As such, we're confident that the holidays are coming, Christmas will once again arrive on December 25, and this year, there will be more presents under the tree from Mattel than from any other toy company in the world. Now let me turn my comments to our results in the third quarter. We have a good quarter overall, and I'm pleased with where we are as we head into the holiday season. On the sales side, we grew revenue in every region of the world. The key drivers of our global growth largely fall into 3 categories: our Girls portfolio, Fisher-Price Friends anchored by Thomas & Friends and several successful new launches. First, as we've discussed before, Mattel's Girls portfolio features the top 4 best-selling doll brands in the world: Barbie, American Girl, Monster High and Disney Princess. We're committed to managing the portfolio to drive category growth. In the quarter, our Girls portfolio had its 16th consecutive quarter of growth. We continue to be very excited about the strength of Monster High, American Girl and Disney Princess. Monster High had another standout quarter, with strong growth in both the U.S. and international markets. Engagement continues to be impressive, with a monstrous response to the new theme song, which has racked more up than 1 million downloads since its launch in June. We continue to see millions of fans engaging with our content, downloading videos and sharing their freaky experiences on social media, further highlighting their passion for this amazing franchise. American Girl also continues to fire on all cylinders by growing 20% in the quarter. Strong sales, both online and at retail destinations, fueled brand growth. Disney Princess also had solid performance, driven by the launch of Sofia, which I'll speak about in a few minutes. Overall, Barbie performed better in the third quarter, with worldwide shipping up 3%. The key driver for Barbie performance was our international region, which was up 6% for the quarter, driven by the strong initial launch of Barbie's fall entertainment line. Barbie shipments in the U.S. were down 1%, reflecting continued POS softness in the U.S. However, this also represents an improvement from the first half of the year. A second important driver of Mattel's third quarter worldwide growth was Fisher-Price Friends, which ended the quarter up 14% due in large part to our friends from the Island of Sodor. Thomas had a strong performance in the quarter, and we continue to see more opportunities to expand this brand. Last month, we launched the newest Thomas movie, King of the Railway, and early numbers look fantastic. In its first week, King of the Railway raced to become the #1 children's nontheatrical new release in the U.S. according to Nielsen VideoScan. The DVD reached #1 on the kids and family bestsellers on Amazon.com, and was a top 5 video in the iTunes kids and family category. Fisher-Price Friends also got a nice boost from BBC's Octonauts toy line, as well as from our successful launch of Bubble Guppies with our partner, Nickelodeon. Finally, the third top line driver that helped fuel sales growth in the quarter was our success at executing a number of new launches. As I said before, our goal of new launches is to hit the singles and doubles that will deliver consistent, sustained growth for our business over the long run. As I look at our batting average this past quarter, I'm very placed with our progress. This summer, the latest Disney Pixar movie, Planes, took flight and this exceptionally toyetic property has exceeded our expectations around the world. With another Planes movie slated for 2014, we believe this brand has the potential to become another fantastic evergreen property. The initial launch of Disney's Sofia the First has also exceeded our expectations. We know the princess play pattern is universal, and the Sofia characters seem to be resonating well with consumers. We're also pleased with the rollout of the Thomas Wood line, which is the main entry point to the brand for most consumers. We see this line as a strategic building block for our Thomas franchise, and we continue to execute this brand well in both specialty and mass channels. In the quarter, we also launched our second franchise, Max Steel. As many of you know, Max Steel is Latin America's #1 action hero and we're excited to be bringing him to the world market. In Latin America, Max has seen strong growth this year. In our new launch markets, including the U.S. and Europe, Max is building awareness and momentum through immersive consumer engagement that includes television programming, webisodes, digital support and more. Our newest franchise, Ever After High, the latest addition to our Girls portfolio, had a very strong exclusive debut at Justice stores in the U.S. Starting in the fourth quarter, the line will be shipped to major retailers in 14 markets around the world. We will also launch later in the fourth quarter to support the holiday release of Disney's new Princess movie, Frozen. We hear good buzz about the movie, and of course, we're always excited by entertainment featuring not 1 but 2 princesses. Disney plans to begin releasing the movie in the U.S. and other select markets around the world at the end of November and will complete their global theatrical rollout early next year. So overall, we feel like we're off to a good start with these launches. We see them not only as important top line drivers in 2013, but important brands for the Mattel portfolio for 2014 and beyond. Let me finish the top line discussion here and talk about Fisher-Price. Like many of our brands, performance of Fisher-Price also improved in the third quarter when compared to the first half of the year. Total brand shipping was flat in the quarter, with Fisher-Price Friends up 14%, offset by core sales, which were down 3% globally. Fisher-Price Core continues to see strong gains in key branded segments like Laugh & Learn, Little People and Imaginext. This strength is being offset by weakness in Baby Gear and our decision to move away from lower margin, less brand differentiated segments. That said, recent Fisher-Price POS trends are improving in both the U.S. and international markets as we see promotional product and consumer engagement plans coming together. There's more work to do here, and the brand remains a work in progress. Kevin will cover in detail our P&L, which continues to be strong. However, I'd like to briefly touch on 3 elements: our expanding margins, consistent return of capital to shareholders and our strong balance sheet. Operating income was up 8% for the quarter, driven by higher gross margins and modest overhead leverage. Additionally, in the quarter, we returned $373 million to our shareholders in the form of share repurchases and dividends. Our balance sheet is also in great shape. Cash on hand is higher, and our inventory is up just 1% year-over-year. As we move forward, the goal is to deliver another strong year in 2013 and we know we need to execute well in the all-important fourth quarter. As I've outlined here, we had good momentum in important areas of our business: our Girls portfolio, our Fisher-Price Friends business and our many new product launches. And we had growth in every region of the world in the third quarter. And the growth in some of our emerging markets is particularly exciting. As retailers continue to focus on inventory, they're buying what's selling and we remain focused on driving both POS and shipments. To date, this year, our POS has been mixed, with international markets delivering year-over-year gains for Mattel. Our objective in the fourth quarter is to build on that POS momentum in international. POS is down mid-single digits in the U.S. year-to-date, and our focus remains on improving POS trends on key brands like Barbie and Fisher-Price. As you may know, more than 50% of the POS in the toy business occurs in the fourth quarter, and our teams around the world are focused on executing their plans and programs to maximize both sell-through and shipping. To wrap it up here, as we look to the holiday season, we once again have a strong lineup of innovative products for the fall. In fact, again, this year, Mattel has shown that when you innovate, you grow as we have more than 80 different toys represented on top-rated holiday lists globally. As you know, innovation is a critical element for success in the toy business and these lists remind us that we have tremendous talent here at Mattel. It is now our job to ensure flawless execution in these final 3 months to ensure that we deliver another successful year of growth for the company, our employees and our shareholders. And now I would like to turn it over to Kevin Farr, our CFO, to give you more insight into our financial performance. Kevin?
Kevin M. Farr: Thank you, Bryan, and good day, everyone. As Bryan pointed out, we continue to make good progress this year as we remain focused on our company objectives: to consistently grow the business, to maintain financial discipline and to deploy the cash we generate effectively to reward our shareholders. In this quarter, I was very happy to see improvement on a number of operating metrics. For the quarter, sales momentum continued and was up 6%. Our gross margins improved in the quarter and is up 90 basis points year-to-date. We improved our SG&A spending leverage, even with our continued strategic investments to grow our business. And we saw good flow-through resulting in a 23.9% operating margin in the quarter. This strong operating performance, coupled with a favorable tax rate due to discrete period tax items, resulted in EPS of $1.21, a 16% improvement over last year. And while we had a very solid quarter, we recognize the need to continue to execute in the fourth quarter in order to deliver another year of strong growth to our shareholders. Now before I start reviewing the slide deck with you, I want to highlight a couple of key items in the P&L and touch on our capital deployment strategy. First, we continue to see strength in our gross margin. Our peak production season is behind us, and while there's been puts and takes in our input costs, our overall basket of costs for the first 9 months of 2013 are fairly consistent with what we had initially planned for 2013. And while there's still a number of factors outside of our control that can impact gross margin, including volatility in input and foreign exchange, we will continue to actively manage manufacturing efficiency and O.E. 3.0 cost savings programs, and we expect to benefit from favorable mix related to growth in our doll portfolio and our pricing actions taken at the beginning of the year. So currently, we believe that we're in good shape to deliver gross margins in the low to mid-50s range over the near term. I also wanted to briefly touch on our SG&A spending, which remains in line with our expectations that we outlined with you at the beginning of the year. While spending is up, I continue to like the quality of our SG&A as we invest in strategic growth initiatives, some of which will generate tangible benefits this year. For example, in the fourth quarter, we will launch our third franchise, Ever After High, at our mass retail partners in 14 countries, and we'll open our 16th American Girl store in Palo Alto, California. Next, I want to highlight that in third quarter 2013, our EPS reflected a $0.05 per share tax benefit as we realized discrete period tax items, primarily related to the reassessment of prior year's tax liabilities based on the current status of tax audits and enacted tax law changes. As a result, for full year 2013, we currently estimate that our annual effective tax rate, including discrete period tax items, will be approximately 19% versus 18% in 2012, but down from the near-term expectation of 22% to 23% that we had previously communicated. Finally, I want to touch briefly on capital deployment. As you know, we study capital deployment very closely since our business consistently generates strong cash flow, and the return of that capital is an important part of our total shareholder returns. Mattel has a strong history of returning capital to our shareholders. Last year, we returned a significant amount of capital to our shareholders in the form of dividends and share repurchases. We also deployed cash to invest in strategic growth initiatives, like the acquisition of HIT. In 2013, consistent with our historical capital investment framework, we expect to pay dividends of about $500 million based upon our annualized dividend of $1.44 per share, which is up 16% versus 2012. And we continue to buy back our shares opportunistically, with year-to-date share repurchase of 9 million shares at a total cost of about $387 million. In the quarter, we purchased 6.1 million shares at a total cost of about $259 million. Looking forward, we'll continue to be disciplined and opportunistic in deploying our cash to enhance shareholder value, while maintaining a strong balance sheet with targeted year-end cash of $800 million to $1 billion and debt to total capital of approximately 35%. Now let's turn to the slide deck. Starting on Page 4, you can see that our worldwide gross sales are up 6% for the quarter and 5% year-to-date. We saw continued strength in our international region, which was up 9% in the quarter, and improvement in the North American region, which was up 3%. Our Girls portfolio saw growth in all of its major brands, Barbie, Monster High, American Girl and Disney Princess, and we continued to see growth in Fisher-Price Friends. And retail inventories are down slightly, which puts us in a good position to deliver another solid holiday season. Turning to Page 5 of the presentation, you can see the brand perspective on sales. Worldwide sales for Mattel Girls & Boys Brands were up 8% for the quarter and 7% year-to-date. Barbie shipments improved in the quarter, and we saw strong growth in Monster High and Disney Princess, which includes its new animated series, Sofia the First. Hot Wheels was down 2% for the quarter and year-to-date. We saw solid growth in our entertainment line, driven by Disney Planes and our own Max Steel. As Bryan mentioned, we're pleased with the year-to-date performance of Max in Latin America, and the brand continues to build an audience here in the U.S. and other countries around the world. Worldwide sales for Fisher-Price brands were flat for the quarter and down 2% year-to-date. Key brand drivers include continued strength in Fisher-Price Friends, especially with our own Thomas & Friends and Mike the Knight. Solid performance from our Disney licenses, as well as our new Octonauts and Bubble Guppies licenses, and we saw improved shipments in Core Fisher-Price as compared to the first half of this year, driven by our Little People, Imaginext and Laugh & Learn brands. Our American Girl Brands have yet another great quarter, with sales up 20% and up 22% year-to-date. On Page 6, we highlight the performance of our North American region. Overall, sales for the region were up 3% in the quarter and up 2% year-to-date. For the quarter, growth was driven by continued strength in our Girls portfolio, including American Girl, as well as our Fisher-Price Friends business, which was partially offset by Wheels, Games & Puzzles and Fisher-Price Core. Our international region, as seen on Page 7, grew 9% this quarter and 7% year-to-date. For the quarter, all of our regions grew in U.S. dollars. We also continue to see strong results in emerging and developing markets like China, Russia and Eastern Europe, as well as Mexico. And Brazil and India had strong sales, which were partially offset by unfavorable foreign currency. Now let's review the P&L, starting on Page 8 of the slide presentation. I've already talked to you about gross margin performance for the third quarter. For the quarter, gross margins improved by 10 basis points to 53.8%, driven by improved mix due to the continued strength in the performance of our Girls portfolio, savings from O.E. 3.0 initiatives and our pricing actions, partially offset by increased input costs which were offset by unfavorable foreign exchange and increased logistics cost. Year-to-date, the gross margin of 53.3% is up 90 basis points over last year, consistent with our goal of delivering gross margins in the low to mid-50s range over the near term. And I've also already talked to you about our SG&A expenses, as seen on Page 9, which continue to be consistent with our expectations. About half of the $17 million increase in third quarter SG&A was due spending on strategic growth initiatives, with the balance of the increase in spending primarily related to higher employee-related costs, principally merit and benefits. For the quarter, SG&A expenses as a percentage of net sales was 18.6%, a 30 basis point improvement over the prior year. Page 10 of the presentation summarizes the performance of our company-wide cost savings initiatives and the continuing efforts on our ongoing Operational Excellence 3.0 program. For the quarter, we delivered incremental O.E. 3.0 gross savings of $15 million, and we remain on track to deliver a full year target of around $50 million in gross savings. Turning to Page 11. Operating income in the third quarter was $528 million or 23.9% of net sales, a 40 basis point improvement over last year's third quarter. The improvement in operating margin was driven by higher sales, improved gross margin and slightly lower SG&A as a percentage of net sales. Turning to Page 12. Earnings per share for the quarter were $1.21, an increase of $0.17 or 16% compared to the prior year. The increase in EPS was driven by higher operating income, lower nonoperating expenses and a lower tax rate due to favorable discrete period tax items and a slight decrease in share count. The impact of foreign exchange in the quarter was a negative $0.05 per share and a negative $0.10 per share year-to-date. As I said previously, we currently expect the worldwide effective tax rate for the year to be about 19%, including discrete tax items. And assuming no tax law changes, we believe that the tax rate for the foreseeable future will be around 22% to 23%. Slide 13 outlines the HIT integration and amortization costs Mattel incurred in 2013 and the first 9 months of 2013. For the quarter, acquisition and integration expenses were $2 million, down $1 million compared to the third quarter of 2012. For the full year, we expect these expenses to be about $7 million compared to $24 million in 2012. We discuss cash flow on Page 14. Year-to-date, cash flow used for operations were $321 million compared to $101 million last year. The increase is primarily due to higher working capital usage, partially offset by higher net income. Cash used for investing is significantly lower than last year, when we acquired HIT for $685 million. Capital expenditures are up slightly to $179 million. Year-to-date, we repurchased 9 million shares of stock at a total cost of $387 million. And we continue to pay our quarterly dividend of $0.36 per share, which represents year-to-date cash payments of $372 million. Our balance sheet remains strong. Our cash on hand at the end of the period was $406 million, up $124 million from the prior year. And our debt-to-total capital ratio was 36.5%, up slightly from 36.3% in the prior year but consistent with our targeted rate of 35%. Today, we announced our fourth quarter dividend of $0.36 per share, a 16% increase over the prior year. In July, we also announced that we increased our share repurchase authorization by $500 million and we have $463 million remaining under this authorization as of the end of the third quarter. As I said, we remain committed to our capital investment framework and expect to end the year with cash and debt levels consistent with our targeted levels. As a reminder, we've enhanced our level of disclosure in our 10-Q and 10-K filings for consolidated and segment revenue. You'll find the schedules that outline these enhancements, including the quarterly information that we provided this morning. We also posted these schedules on our corporate website in the Investors section under the subheading, Financial Information. So in summary, we made good progress this quarter. Our performance to date is consistent with our long-term financial goals for sales and operating profits. As we enter the all-important fourth quarter, our goal is to deliver another year of strong financial performance to our shareholders. As we look ahead, we remain keenly focused on growing our business consistently, growing it profitably and deploying the cash generated in value-enhancing ways to reward our shareholders. This concludes my review of the financial results. Now we'd like to open the call to questions. Operator?
Operator: [Operator Instructions] Our first question comes from Greg Badishkanian with Citigroup.
Gregory R. Badishkanian - Citigroup Inc, Research Division: First question is just, as you guys had talked about last quarter, you saw an improvement in Fisher-Price Core, Barbie and you saw that in the third quarter. How much left in terms of incremental improvement do we have over the next few quarters? Or do you think it'll kind of be a steady state for the next few quarters at this point?
Bryan G. Stockton: Greg, it's Bryan. We're feeling, I think, encouraged by what we're seeing on both Barbie and on Fisher-Price. As we think about Fisher-Price, we like the fact that global shipments were flat for the quarter, with Fisher-Price Friends up about 14% and Core down 3%. As we think about the overall portfolio of Fisher-Price, we always think about Friends and that business seems to be doing pretty well. We like what we see in both Mike the Knight and in Thomas. Some of the partner brands that we've got there with Disney and Nick and BBC are doing well. So that part of the Fisher-Price portfolio has positive momentum, both in the U.S. and outside the U.S. As we think about the core business, we saw an improvement compared to the first half and there's a couple things that we like when we look at Fisher-Price. The first thing is really a couple of the segments like Imaginext and Little People and Laugh & Learn are doing pretty well. International -- and recall international is an important part of the Fisher-Price growth plan, it's only about 1/3 of Fisher-Price revenue for us globally so international is a key part, and we're seeing POS improve as we get some of the new programs and packaging out there in international. So we like that. The biggest challenge we have on Fisher-Price is really in the U.S. We need to improve consumer takeaway on the core business. We're really focusing on that in the fourth quarter as the new packaging and promotional programs and some space expansion come into play. So but we feel like we have more work to do on Core in the U.S. more specifically. But our plan is still on Fisher-Price to plan to grow that business overall. Again, we've got good momentum on Friends. It's taking longer than I think any of us would have liked to get the core business turned around in the U.S. in particular. But having said that, we've got about 50% of the industry in our POS ahead of us, so we're committed to executing. So I'd say that's a pretty good summary of how we feel about Fisher-Price. As it relates to your question on Barbie, again, we feel pretty good about the shipments, they were up 3% for the quarter. That's a similar story in terms of international. As you recall, international represents 2/3 of Barbie global revenues. And we see some progress in international, shipping was up 6%. It's up 2% for the year in international. POS trends in Barbie are improving. We talked about the launch of the new fall video, which is having a positive impact. And it goes back to the U.S. The shipments are improved from the first half, they're still down 1%. We think one tailwind that we saw in the U.S. is, as we talked about at the second quarter, there was some promotional spending that we shifted into the second half. Some of that spending was executed in the third quarter and that, obviously, was a bit of a tailwind. But we're also dealing with the Barbie POS softness in the U.S. that kind of offsets a bit of the tailwind on shipping. So we would say in the U.S., Barbie shipping and POS is pretty well aligned and we got to focus on executing the same programs we're doing in international. So progress on both, more work to be done on both, but we're feeling better than we did at the end of the second quarter.
Gregory R. Badishkanian - Citigroup Inc, Research Division: Good, good. And just another question. Inventory, U.S. inventory was down. I think retailers seem to be managing inventory levels a lot more aggressively. And just wondering when you talk to your retail customers, has there been much of a change over the last month or 2 in terms of their outlook for the holiday? Or is that pretty consistent with a few months ago?
Bryan G. Stockton: Well, I would start with the notion that retailers are really working hard to reduce inventories is not a new idea. That's something we've been working with them for the past couple of years. As you recall, in 2012, we were able to get our inventory retail down sort of mid-single digits. We're running at about that rate this year. We like that. It keeps the product more fresh at retail, helps inventory turns at retail. That's good. Mattel, as well, is also working on reducing our inventories, we were pleased, quite frankly, that even with all the new launches we have in place, our inventory is only up about 1%. So we like that. As we talk to retailers, everybody is focusing on executing well. As you know, we always suffer the pre-Christmas jitters, both at retail and here on the vendor side. But we think that the toy industry looks good. In the U.S., it's up marginally. It's kind of flat in Europe. So we think the outlook for toy is actually quite strong.
Operator: Our next question comes from Gerrick Johnson with BMO Capital Markets.
Gerrick L. Johnson - BMO Capital Markets U.S.: I'd like a little bit more clarity on your point of sale. I think you said down mid-single digit U.S. Was that year-to-date, or in the quarter? And with shipments up slightly in the U.S., is there anything to be concerned about with that disconnect?
Bryan G. Stockton: We look at POS on a year-to-date basis, generally, because there's all sorts of puts and takes depending on the timing of promotional programs and holidays and things of that nature. So when we look at our POS and shipments, we would say across most of our brands and most of our countries, it's pretty well aligned on a year-to-date basis. We think that's a good place for us to be, as we go into the all-important fourth quarter and we focus on execution. It means we're in balance, even with retail inventories down mid-single digits. So we like where we are.
Gerrick L. Johnson - BMO Capital Markets U.S.: Okay. And can tell you us a little more about Playground Productions? I think that -- you did mention it in your preamble, but maybe you could tell us a little bit about it now.
Bryan G. Stockton: Well, sure. As you know, we're spending a lot more time creating content, and that's a fundamental part of our brand-building strategy. As we look at successful brands in the toy industry at the moment, they tend to be the ones that have great consumer engagement, whether that's through television or movies or webisodes or any other kind of consumer engagement. And it's just our fancy term for a group we have internally here at Mattel that is producing terrific programs like -- things like Max Steel, for example. But it's not a studio in the purest sense of the word. It's a fancy term for a group of highly talented people here at Mattel that have been employees for a number of years. And they do a terrific job, as you can see, by all the content that we've been producing. And you look at Monster High, Ever After High, Max Steel, they're just doing a terrific job.
Gerrick L. Johnson - BMO Capital Markets U.S.: Okay. And I just want to sneak one more. Are you seeing changes in the way retailers are managing their inventory risk, meaning, less FOB, more domestic fulfillment? Any changes in how they are getting fulfilled this year?
Bryan G. Stockton: Not really. Every year, as we look across our customers around the globe, there's always changes at some customer somewhere, who wants to try something a little bit different. But as we look across our portfolio of customers, we're not seeing a growing trend one way or the other. But we partner with our customers every day to make sure that we optimize the execution of the flow of inventory and merchandising and driving POS. So overall, I would say no. And I'm sure there's an example somewhere out there, where somebody's made a change but, overall, for Mattel, it's not material.
Operator: Our next question comes from Jim Chartier with Moness, Crespi and Hardt.
James Andrew Chartier - Monness, Crespi, Hardt & Co., Inc., Research Division: Two questions. I just wanted to confirm, you still expect to grow Fisher-Price sales overall in 2013?
Bryan G. Stockton: Yes. What we said is we plan to grow Fisher-Price. And when we talk about planning to grow Fisher-Price, overall, that's a combination of Friends, which is our owned properties like Thomas and Mike the Knight, as well as our license partners like Nickelodeon and Disney. And our -- also our Fisher-Price Core business. As we look at our Fisher-Price business, we've got momentum on the Friends business, both our own properties and our licensed properties, so we like that a lot. We are also working hard on the execution of Fisher-Price Core. As I'd mentioned, we like some of the momentum we're seeing in international, that's the key to Fisher-Price growth in the future. It's taken longer on the core part of the business in the U.S. to get that business turned around. It's all about POS and in-store execution and working hard to make sure we get everything lined up. We've always said it was a second half plan for Fisher-Price Core. We had the new packaging in place. We have new promotions and new space. But if you look at Fisher-Price overall, year-to-date, we're down about 2%. So it's -- we've got some work ahead of us to pull ahead, but it's our plan, and we're working really hard across both parts of our portfolio to do that.
James Andrew Chartier - Monness, Crespi, Hardt & Co., Inc., Research Division: And then just I know it's early, but can you compare the response to Ever After High relative to kind of Monster High at this stage in terms of, I don't know, YouTube downloads or other engagement with the consumer?
Bryan G. Stockton: Well, it's difficult to compare, because Monster High was such a shocking thing to all of us, the way it took off. We would say based on what we've seen in terms of the response at Justice stores, not just on the toys, but on consumer products and the engagement overall, we like what we see. But it is just way, way too early. Shipments on this brand don't really start until later this quarter. So we like what we see, but it is pre-preseason for Ever After High.
Operator: Our next question comes from Jaime Katz with Morningstar.
Jaime M. Katz - Morningstar Inc., Research Division: Can you guys talk a little bit about what is resonating in, I guess, Europe and Asia Pacific specifically? And what you see as sort of the growth opportunities longer term for those businesses? It kind of looked like Latin America was sort of the drag in international. So I'm curious maybe what you're up in Asia Pacific like that made that work well outside of what we already know?
Bryan G. Stockton: Sure. Why don't I take you on a little tour around the world here. Let's start first with Europe. We like where we are in Europe. We think a couple things are happening there. Number one, we're executing well with all of our retail partners on our core brands, as noted with our Barbie performance, as well as launching new brands like Monster High and some of our partnered brands. We've also invested, we think, very wisely in Russia as a part of Europe and that's growing quite well. We've been trying to leverage our scale in core brands in Russia, so we like what we're doing there. And it's really about building momentum and leveraging our brands and our opportunities there. And as you look at Europe, what is most encouraging is that as you look across every market, it's positive across almost every market. And so it's not 1 or 2 countries driving it. It's pretty broad scale performance. As we think about Latin America, we've always loved Latin America. As you know, it's about $1 billion business for us. It's been growing. It continues to grow. POS continues to grow there. Our shipments are up there. The 2 key markets in Latin America are Brazil and Mexico, and we continue to see POS grow there. And we are really strong in fourth quarter execution in both of those markets. As you recall, those are 2 very, very seasonal markets. In Brazil, one of the issues that everyone is dealing with is the currency impact. And even with that, we feel quite positive about Brazil. So we think there's still more opportunity for growth in Latin America, particularly in the 2 anchors of Mexico and Brazil, and so we're quite positive about it. Asia, I think is a couple things going on. Number one, like Russia, we've been investing pretty heavily in China, and we're seeing good response. We've built that business, the foundation, or as I look to call it, brick by brick, focusing in on our core brands and core customers and really making sure we build a sustainable business in China. We've got the scale there that now we're beginning to be able to leverage things like advertising investments in China, and that seems to be paying off, so we like that. The Australian market, which we include as a part of Asia, has been going -- undergoing some changes in how retailer promotional programs have been tying. Traditionally, that's a very strong market for retailer toy promotions in the summer, and that seems to be evolving for less focus on the summer and more focus on the fall. So we're seeing some improvements there as well. But we like Asia. India is continuing to do well for us. We've been there for a while and continue, again, to invest in our core brands there. So outside of North America, Europe is doing well, great execution. Latin America is doing well, great execution and growth. And Asia is doing well, because it's new and growing. We've been there for a while and we're investing.
Jaime M. Katz - Morningstar Inc., Research Division: And then can you talk a little bit about the Wheels business and whether or not you guys are looking to maybe put some marketing dollars behind that to sort of reengage the consumer, since it looks like, was that a couple quarters of weak performance?
Bryan G. Stockton: Well, we like where we are in the Wheels business. We think we're well positioned with Hot Wheels, with some innovation in the fourth quarter, with things like the Car Maker, which is a really interesting and innovative new item. So we like where we are. And we really think about wheels in terms of everything that's sort of diecast. We have to look at Hot Wheels, we have to look at Cars. And, of course, Planes is really taking off, pun intended. And that appears to be some nice new incremental business for us everywhere where that brand has been launched. So if we look at our overall diecast business, we like it. Hot Wheels has solid momentum, again, with the Car Maker and some other new things. So we think we're well positioned to execute well in the fourth quarter and feel good about that business.
Operator: Our next question comes from Tim Conder with Wells Fargo Securities.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Just a couple here. Bryan, a little bit more color, if you could, on Barbie. I know you commented on POS year-to-date in the previous -- answer to the previous question. But it appears on the NPD that, that had weakened quite a bit in the third quarter. Can you maybe kind of give us a little bit of color there? Was that primarily older product versus what you've now shipped in during the third quarter? Was that due to that bleed down of the old product? Or was there something else going on? And then the second question is Girls. Monster High, as you said, continues to do well. But you would think that, at some point here, the rate of growth is going to start to slow but still grow. So can you kind of comment on Monster High, Barbie, Disney Princess, how you see that growth going forward here as the Monster High growth comes down but still progresses?
Bryan G. Stockton: Sure. Well, let me start with Barbie POS. I'm really not going to get into a discussion of Barbie POS specifics and by month and by good product, old product, in between product. But what I would tell you, as I mentioned earlier, when we look at POS and shipments, because of timing and promotional programs, we tend to like to look at it on a year-to-date basis. And again, I would tell you that our shipments and POS are pretty well balanced, and we've gone through about 50% of the POS here in toys. And we had the next 50% ahead of us in the fourth quarter. So we like where we are. We've said we've got some positive momentum at Barbie international, we like that. We know that there's still soft POS in the U.S. In the U.S. we're addressing that through more space, better merchandising, some solid promotional tie-ins with our retail partners. We have 2 movies, A Pony Tale launches on October 22. That should be a terrific movie with a camper and a terrific remote-controlled horse that I know that girls are going to love around the world. So we're all about execution on Barbie in the fourth quarter, and we'll see where we end up. And again, we know that the big challenge is here in the U.S. The other question I think really talkies about our doll portfolio. And we like where we are in our doll portfolio. We have the leading brands of dolls between Barbie and American Girl and Monster High and Disney Princess. And obviously, with launching Ever After High, we have high hopes that, that, too, will become a solid success. And as we think about that portfolio, obviously, just as you manage your portfolios, we want the portfolio to grow, and we would like for all brands within that portfolio to grow. But as you look at the impact of new initiatives on the sales of other brands, we know that, that -- they have impact. If I pick on Monster High, for example, to try to get more specific to your question, we're still seeing the Monster High consumer base grow. We think that's very good, as that consumer base grows. It's obviously going to have some impact on other brands in the doll category, including in our own category. So we think Monster High, we can plan on that to continue to grow. We're in a solid place for the fourth quarter. And as we look at the other brands, as we said, particularly and, I guess, I'll answer this question expecting it to come up, as it relates to the impact on Barbie, again, as that base grows, we know it's having some impact on Barbie, but it's just really hard to quantify what the impact is on Barbie or other doll brands. In the case of Barbie, it's pretty simple. The Barbie business, whether you look at it on a Q3 basis or year-to-date basis for 2013, is larger than it was in 2010, which was, as you'll recall, the base year for the Monster High launch. So Barbie is bigger than she was with Monster High launch. Monster High is huge. Monster High is driving the category. So we are pleased to have the top 4 brands. And we love all 4, and hope we have a fifth one to love with Ever After High.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Okay. And it sounds like, Bryan, you're not too concerned that as Monster High growth rate starts to slow, but again, still growing, you're not too concerned about the Girls business on a go-forward basis?
Bryan G. Stockton: Well, I would tell you, Tim, that we feel there's still opportunity for Monster High to continue to grow. And what's driving that is, again, we see more growth in that base. And it's such a fantastic property to create new stories and new characters, so we like that. Ever After High is just launching, as I mentioned. It's beginning to take hold in Justice. At Disney, we have Sophia, which is really doing well. We like that a lot. Frozen, the movie launch is quite late to have a lot of impact on this year, but we think Frozen, like, as you'll recall the Tangled movie, should have some positive impact on us in the following year for us, 2014. And then there's American Girl, and we don't talk a lot about American Girl, but we sure love it. It's a $600 million business. It's growing strong double-digits. We have another store opening in Palo Alto here in a few weeks. And the growth in that brand is strong across the portfolio, whether it's portfolio of dolls or portfolio of locations or portfolio of channels. So we feel really quite positive about our Girls business.
Operator: Our next question comes from Michael Kelter with Goldman Sachs.
Michael Kelter - Goldman Sachs Group Inc., Research Division: I guess, first thing, there's a pretty big delta right now between your sell in and your sell through in the U.S. And you've touched on a few things, but I was hoping you could maybe walk us through the drivers of the delta in a little more detail?
Bryan G. Stockton: Sure, would love to do that. We really think about a handful of things, as we look at how our shipments and POS and inventory are shaping up. As I mentioned, we -- as we look at our POS and shipments, we believe we're pretty well aligned across brands and across countries, again, as you look at them on a year-to-date basis. And we think that's probably the most reflective way to look at our POS and shipments. And we feel good about that even in the face of retailers managing inventory quite closely. And as you know, when they do that, they tend to buy what's selling, and that's why we feel pretty good. They're buying what our POS is driving, and that's why we feel pretty good about that alignment. Again, our inventory is down at retail, about single -- mid-single digits. Our inventory is down, we like that. And I think another thing that we think about with Q3, as I mentioned, we had a number of new launches. And when you look at those new launches, they're having an impact as we begin to gain more space and get these products on the shelf at retail. So we like the early signs of success on these new launches. So I would say that's kind of a handful of things, as we think about why we feel pretty good about the balance of the shipments in POS, why we're -- we believe, we're well positioned at the end of the third quarter to execute well in the fourth.
Michael Kelter - Goldman Sachs Group Inc., Research Division: And then kind of a related question, I mean, you said on the -- U.S. POS is down roughly mid-singles year-to-date. And as I understand it, it's actually decelerated as the year has unfolded and maybe a little lower than that now. And it sounds like on the call, it sounds like you're treating it as business as usual, whereas I'd have expected a major sense of urgency to turn things around. And so I guess my question is what are you doing to adapt and adjust to what's going on in POS? Are you stepping up trade spend heading into Christmas? Are you reducing orders from some of the manufacturers you use in China? Are you pulling back on discretionary expenses? Are you doing things differently? Or you just kind of have faith things will come in, in the end?
Bryan G. Stockton: Well, I would probably argue with your premise that our POS is decelerating. We're a global business, and we sell toys all around the world, not just in the U.S. And the U.S. is only about 1/4 of the world's toy market. It's about half of our sales. So as we look at our POS, we tend to look at it globally, not just with the U.S. The second thing I would say in terms of why we feel good about the fourth quarter is if you look at the shelf space gains we have, and this is a U.S. comment as well as an international comment. The level of support we're getting from retailers, if you look at the, I'll call it, the informal ratings of our products that we get on all the hot toy lists, and as I mentioned in my comments, we have 80 products on different lists from around the world. You look at the quality of the marketing efforts that we're putting in. The advertising is across the board, better than it was last year. Our spending levels are quite strong, including in the U.S. So I think we're well positioned to execute well in the fourth quarter. And again, we've said the POS is a little softer than we'd like in the U.S., but we have 50% of the industry and us ahead in POS. And the fourth quarter is what this business is all about. And I, frankly, think we execute as well, if not better, than anyone else in the industry.
Michael Kelter - Goldman Sachs Group Inc., Research Division: And then just kind of a quick one here. Have you seen any impact to the industry or yourselves from the recent government stalemate? And I asked -- Wal-Mart maid some comments yesterday at their Analyst Day about seeing an impact to consumers. They weren't specific to toys at all, but as the largest toy company in the world, hoping to get your read on things.
Bryan G. Stockton: Well, it's difficult to say. If you watch television, you're not sure if you should be happy or sad. It depends on which 5-minute segment of what network you're watching. But what we would say is the toy industry has been pretty resilient, if you look at the challenges over the last 5 to 6 years. Recall in the fourth quarter of 2008, the wheels came off the bus, particularly in the U.S. In 2009, it happened in Europe. And as we always take a look at, every year, there's always something that happens in the industry. Hurricanes, dock strikes, U.S. politics, and we always seem to get through it. But again, if there's a short-term issue with U.S. politics, hopefully -- I think most Americans hope that will get taken care of, and we can get back to business. But this is a pretty resilient industry. And one thing we've learned, and I've been in this business 13 years and many of you have covered it a lot more than that, Christmas always comes on December 25. And there's always toys under the tree for kids. And we're proud of the fact that there are always more Mattel toys under trees around the world than any other company.
Michael Kelter - Goldman Sachs Group Inc., Research Division: And last thing, can you just maybe talk us through the key sales drivers, not for Christmas or the next couple months, but for 2014 and '15, either movies or other things we should be thinking about that are going to help propel you forward?
Bryan G. Stockton: Well, sure. I think if you think about what we've been talking about, the first thing we love is our core businesses. And I'll start with Barbie and Fisher-Price. Those 2 businesses, we've been talking about, trying to make some progress on them for '14. We expect to make more progress on that. Our doll portfolio is, really, I think, one of our key strengths. We have the top 4 brands in the world in dolls, all are performing well. We're launching a fifth with Ever After High. So we like where we are with that. With Max Steel, we have some new launches with that going on. But from an entertainment standpoint, we have a number of things going on with Planes, and again, what I would call the post-year effect of Frozen. But we'll review this in a lot more detail at our Analyst Meeting, which we hope we'll see you at in a couple weeks. But we feel quite positive about the '14 and the opportunities to grow.
Operator: Our next question comes from Linda Bolton-Weiser with B. Riley.
Linda Bolton-Weiser - B. Riley Caris, Research Division: I was wondering, in the Fisher-Price business, you had mentioned that there was some exit of some low-profitability areas. I wonder if that could be quantified? Does that make a material impact, causing some of that 3% decline in the core Fisher-Price? Or is it just too small to measure? And then my second question is on Max Steel. Maybe I'm just reading too much into your comments, but it just sounded like you were a little muted on your initial commentary about Max Steel. Is it just too early? Or is it getting a maybe slower start than you had thought? Or can -- maybe you could give just a little more color on Max Steel?
Bryan G. Stockton: Sure, I'd love to comment on both. On Fisher-Price, we've had a number of categories and products, and I'll pick on one as an example. For example, Grow To Pro, which has been a number of outdoor toys that haven't really been as attractive as perhaps we'd like. And we're really trying to focus our toy line on Fisher-Price on 2 things: things that support the developmental nature of the brand and the advertising; and frankly, things that are attractive from a gross margin standpoint. So I'm not going to get into quantifying how much it is. But I think if you look at the Fisher-Price display this year versus the Fisher-Price display in past year, you would notice that we've got a more focused line and a line that better reflects what we're doing with Fisher-Price. On Max Steel, I wouldn't say I'm muted. I would just say we recognize the fact that this is a television property. It's not a movie property. As you know, movie properties tend to have a big bang, and then they kind of disappear. And we're essentially using the same formula outside of Latin America that we built this brand within Latin America, which is with, I would say, more ongoing support, whether it's promotional support or DVDs, et cetera. We like what we see with Max Steel in Latin America at the moment, the engagement of boys with the brand is quite strong. Again, the new product is just hitting shelves there, so it's a little too early to make a call. But I recall the POS, quite encouraging in Latin America. So we think all the work we've put into Max Steel at minimum is going to help make us a stronger and better business in Latin America. Outside of Latin America, when you look at other countries like the U.S. and Europe, for example, where we have pretty strong content placement, we see, I would say, brand engagement, what looks like the early days of Latin America, and we like that. Product is just getting to the shelves, and I think we'll have a good year, but it's not going to be movie-like. And then, frankly, we have some markets, and I'll mention the U.S. as an example, where we have some more work to do, in terms of content. We've been working very hard with Disney, for example, to strengthen the availability of Max, and it's been recently stripped on Disney XD, so we like that. But again, with Max Steel, like we did in Latin America, it's not any one thing. It's a number of engagement points with Max Steel. So we like where we are. We've never said it's going to be a big-bang movie. It's going to be a slow build. And that's what built that business to be the #1 action figure brand in Latin America, and that's what we like.
Operator: And our final question comes from Drew Crum with Stifel.
Andrew E. Crum - Stifel, Nicolaus & Co., Inc., Research Division: Bryan, I wonder if you could comment on your expectations for Ever After High as you sell it into retailers and what their plans are as far as placement? Is your expectation to grow the fashion doll category with this? Or do you cannibalize against some of the other properties? I wonder if you could comment on that. And then on the Fisher-Price side, how far along are you in terms of shipping Thomas Wood globally, as well as Mike the Knight?
Bryan G. Stockton: Sure. Let me start with Ever After High. I'm going to go back to the comment I made earlier about our doll portfolio. And we work very hard, as you would expect, being the leading doll company in the world to understand what girls are doing and where whitespace exist. And we've talked about sort of the key insight on Ever After High being that girls wanted to sort of rewrite their history. They don't want to feel like their lives are preprogrammed for them. So it's a different play pattern. It's a different mindset than things like Monster High. And that's why we are believing that this could be potentially incremental. Again, we want to grow all of our brands in the doll portfolio, whether it's Barbie or Disney Princess or Monster High or American Girl, and now, Ever After High. So that's the objective. We look for whitespace and try to fill it. Now as it relates to, and as I mentioned before, when we have a new launch, it's hard to imagine these new launches not having an impact on the sales on some of our other brands. But we really think about this as a portfolio. We want to grow the portfolio. Ideally, we like to have all brands grow. But there could be, at any a given moment, some movement of sales between brands. But we like where we've been. The doll portfolio has been growing for 16 consecutive quarters, and we like that quite a lot. And the category has been growing high-single to low-double digits in most of the world. So I would say, as we think about our doll portfolio, the strategy is working, and we want to keep working the strategy. As it relates to Fisher-Price, and specifically, on Thomas and on Mike the Knight, we launched Thomas Wood back in January. And this is an interesting one for us, because it's a good product for both mass and specialty. And we've had a good reception from retailers on both. We like it a lot. It's what we call the entry point into the brand, because moms love the wooden toy, and it's a great way for kids to play with Thomas. So I'm not going to get in the specifics of Wood, but we really like where we are. And we think it's a great opportunity to grow the brand. And Wood, in particular, in international, because Wood is, I would say, highly concentrated in the U.S. and a handful of other markets. And as we expand the Thomas brand, you're probably tired of me talking about the great work we've done with Televisa in Mexico. But as we extend and expand the content and availability, wood will continue to grow globally, as well as the plastic and diecast pieces as well. And on Mike the Knight, we like where that brand is going. Again, it's all about content placement, and the toys will follow. So we're happy with Thomas. There's a lot of opportunity, whether it's in China and Asia or Brazil and Mexico and Latin America or Russia, in Europe. We think there's a lot of opportunity.
Drew Vollero: Thank you. There will be a replay of this call available beginning at 11:30 a.m. Eastern Time today. The number to call for the replay is area code (404) 537-3406, and the passcode is 58903743. Thank you for participating in today's call.
Operator: Thank you, ladies and gentlemen. That does conclude today's conference. You may all disconnect, and have a wonderful day.